Operator: Good afternoon ladies and gentlemen. My name is Tasha and I will be your conference operator today. At this time I would like to welcome everyone to The Boston Beer Company’s 2008 Fourth Quarter 2008 Earnings Results Conference Call. (Operator Instructions) I would now like to turn the call over to Mr. Jim Koch, Founder, and Chairman of The Boston Beer Company. Please go ahead sir.
Jim Koch: Thank you, good afternoon and welcome. This is Jim Koch Founder and Chairman and I am pleased to be here to kick off the 2008 fourth quarter earnings call for The Boston Beer Company. Joining the call from Boston Beer are Martin Roper our Chief Executive Officer, and Bill Urich our Chief Financial Officer. I will begin my remarks this afternoon with a few introductory comments and then hand the microphone over to Martin who will provide an overview of our business. Martin will then turn the call over to Bill who will focus on the financial details for the fourth quarter and 2008 fiscal year as well as the outlook for 2009. Immediately following Bill’s comments we will open the lines up for questions. We reported 2% depletions growth in the fourth quarter bringing the depletions growth for the second half of 2008 to 7% as compared to 10% depletions growth in the first half of 2008. Our trends in the first two months of 2009 have slowed slightly from the fourth quarter. And, while the Better Beer category appears reasonably healthy, we believe we may be losing share in recent months as the drinker is faced with more choices. We believe that craft beer will continue to grow and that we’re well positioned to share in that growth through the quality of our beers, our innovation capability and our sales execution, coupled with our strong financial position and ability to invest in growing our brand. While we are disappointed with our recent depletion trends, we believe that the history, authenticity, and quality of the Samuel Adams brands, our unique beers, and our ability to invest will position us well for future growth. We are also proud of our acquisition and integration of our Pennsylvania Brewery during 2008 and are especially pleased that we were able to meet the product demands of our wholesalers and drinkers without disruption during this important transition. I will now pass over to Martin for a more detailed overview of our results.
Martin Roper: Thank you Jim and good afternoon everyone. During the fourth quarter of 2008 we experienced some slowing of trends in our brands, as did the imports in the overall craft category. As we entered 2009 this has continued and we have also seen signs of inventory reductions at both retailer and wholesaler levels, which could depress shipments in depletion levels. We believe these effects are generally reflective and consistent with recent economic developments and while there is considerable uncertainty about short-term trends, we remain confident about the long-term prospect of our category and brands. We feel we are in a good position to compete effectively through the strength of our brands, our sales force and our ability to invest in long-term brand building activities, and that this positions us well for the future and should enable us to gain share. Brewing and packaging volumes at the Pennsylvania Brewery increased compared to third quarter levels, but it has yet to reach its expected full potential as we continue to co-pack for Diageo. Through the end of fiscal year 2008 we had spent $43.9 million on capital improvements at the Pennsylvania Brewery to upgrade portions of the facility and to restock the brew house with several additional projects committed to, and in progress, but not yet completed. Most of the major investments necessary to upgrade the facility have been completed and we will now move to focus on projects that will drive efficiency and increase productivity. We have been experiencing some higher operating expenditure than expected, mostly in material yields, repairs and maintenance, and compensation costs. However, as we look forward to 2009 we believe we will make progress on the efficiencies, capacity, and cost at our breweries as we start to benefit from the investments we are making. We are pleased with our decision to purchase the Pennsylvania Brewery with the tremendous effort made by our whole employee team during the acquisition and start up and with our progress to date. We believe that owning our own breweries puts us in a good position to control our brewing future and to improve our efficiencies and costs long-term. On April 7, 2008 we announced a voluntary product recall of certain glass bottles of Samuel Adams products. The recall process was substantially completed during the fourth quarter. We made no material changes in our estimate of overall recall costs during the quarter. We continue to evaluate potential legal avenues we may pursue as a result of the recall, but cannot comment on any definitive plans at this time. Now Bill will provide the financial details.
Bill Urich: Thank you, Jim and Martin. Good afternoon everyone. We reported net income for the fourth quarter of 2008 of $3.6 million, or $0.25 per diluted share, a decrease of 46% or $0.21 per diluted share from the fourth quarter of 2007. The decrease was primarily driven by increased costs of raw and packaging materials, Pennsylvania Brewery costs, which included start-up expenses and an impaired asset charge relating to investments in the Latrobe Brewery. For the fourth quarter of 2008 net revenue increased $11.6 million, or 13%, as compared to the fourth quarter of 2007. Net revenue increased due to volume and pricing of core products and non-core revenue associated with the production under the Diageo contract. Our core shipment volume for the three months ended December 27, 2008 was approximately 505,000 barrels, a 3% increase over the same period in 2007. We believe that wholesaler inventory levels at December 27, 2008 were slightly higher than last year’s levels, as reflected in shipments exceeding depletions for the full year. We currently expect that such inventory will unwind during 2009. Cost of goods sold increased $16.3 million currently due to the increased costs of raw and packaging materials, increases in volume for core products, and the Pennsylvania Brewery start-up costs. General and administrative costs increased by $2.4 million during the quarter as compared to the prior year. This was driven primarily by the addition of reoccurring planned administrative costs related to the Pennsylvania Brewery and a reimbursement in 2007 of prior period legal costs due to a settlement reached in the fourth quarter of 2007 with insurers. During the fourth quarter of 2008 we stopped brewing at the Latrobe Brewery. After reviewing the circumstances under which brewing at the Latrobe Brewery could restart, we determined that an impairment charge for related machinery and equipment of $1.9 million was appropriate. The income tax provision for the three months ended December 27, 2008 decreased to $2.7 million from $8.5 million for the same period in 2007. This was primarily as a result of lower pre tax income in fiscal 2008. The provision for income taxes in the fourth quarter of 2007 included an adjustment for certain additional permanent items. Core shipment volume for fiscal year ended December 27, 2008 net of recall returns, but including any recall related replenishment shipments, was slightly less than two million barrels. This was an 8% increase from the prior fiscal year. Depletions increased by approximately 8% during the 2008 fiscal year compared to 2008 and 2007 fiscal year. The increase in depletions is primarily attributable to the increases in Samuel Adams(R) Seasonals, the Samuel Adams(R) Brewmaster's Collection, and Twisted Tea(R). We are pleased with our 2008 growth in depletions that was accompanied by price increases of approximately 5%. Net income of $8.1 million, or $0.56 per diluted share for the fiscal year ended December 27, 2008 decreased from $22.5 million, or $1.53 per diluted share for the fiscal year 2007 primarily as a result of the product recall and increases in cost of goods sold, advertising, promotional and selling expenses and general and administrative expenses, partially offset by an increase in net revenue, a decrease in taxes and impairment charges. The estimated after tax negative impact of the product recall on net income was $12 million, or $0.84 per diluted share. The net revenue increased by $56.8 million, or 17%, as compared to the 2007 fiscal year due to the increase in core shipment volume, a 6% increase in net revenue per barrel for core products, and revenue from the packaging services agreement with Diageo. Cost of goods sold increased by $62.2 million, due primarily to volume increases, higher packaged material and ingredient costs, and recall costs. Advertising, promotion, and selling expenses increased by $8.4 million during the 2008 fiscal year as compared to the prior year. This was primarily due to increases in freight expenses to wholesalers, and salary and benefit costs. General and administrative costs increased by $10.4 million during the 2008 fiscal year, as compared to the prior year, driven by salary and benefit costs, start up and reoccurring planned administrative costs related to the Pennsylvania brewery and legal costs. Our effective tax rate for the 2008 fiscal year increased to 48.9% from the 2007 rate of 46%, as a result of lower than expected pre tax income primarily due to the recall, but with no corresponding reduction in non-deductible expenses. The March 2009 year-to-date shipments and orders in hand indicate that gross core shipments will be down approximately 14% versus the same period in 2008. The March 2009 year-to-date shipments and orders reflect volume approximately 2% lower than the depletions from the same period in the prior year. Year-to-date depletions reported to us through February 2009 were down approximately 95 from the same period in 2008 with two fewer selling days in 2009. Year-to-date depletions, adjusted for comparable selling days through February 2009, are estimated to be down approximately 4% from the same period in 2008. We believe we are seeing inventory reductions at wholesalers and retailers compared to prior years that could be depressing the year-to-date shipments, orders in hand, and depletions, and that the shipment and orders in hand are generally consistent with the completion trends. Considering those inventory adjustments for the full year shipments could be expected to more closely mirror full year depletion trends. Actual shipments may differ and not inferences should be drawn with respect to shipments in future periods. Looking forward to 2009, based on information of which we are currently aware, we see cost increases of between 7% and 9% primarily in packaging costs due to a new contract for glass bottles and due to the depreciation in operating costs of the Pennsylvania Brewery. While the costs of operating the new brewery are higher than rates under historic brewing arrangements under contracts with others, we believe that such costs may be lower than future available contract brewing rates and that the advantages of controlling the brewing process and security of supply outweigh any potential additional costs. These cost increases will be somewhat offset by price increases, currently targeted at 3%, and operation efficiency initiatives currently underway. But, we anticipate that our 2009 gross margin percentage could be lower than our full year 2008 gross margin, excluding the impact of the recall on gross margin in 2008. While we continue to experience a healthy pricing environment, there is no guarantee that we will be able to achieve the planned price increases. It is also difficult to predict what full year volume trends for shipments and depletions will be based on current conditions. We are committed to trying to grow market share and to maintain volume and healthy pricing, and we are prepared to invest to accomplish this even if this causes short-term earnings decreases. Based on our estimate, at this time we are targeting 2009 earnings per diluted share to be between $1.40 and $1.70, but actual results could vary significantly from this target. We continue to evaluate 2009 capital expenditures, but currently expect them to be between $20 million and $30 million, which includes approximately $7 million of carry over projects committed to in 2008 and in progress at the Pennsylvania Brewery. We anticipate focusing on projects that will increase efficiency and productivity at the breweries and decisions as to which projects will actually be under taken will depend, in part, on their projected returns on investment. Accordingly, the actual 2009 capital expenditures may be well different from these estimates. We expect that our cash and investment balances as of December 27, 2008 of $9.1 million, along with future operating cash flow and our unused line of credit of $50 million will be sufficient to fund future cash requirements. We continue to be in compliance with all of our debt covenants and have affirmed the availability of our line of credit. We have not yet borrowed any funds under the line of credit and the timing of the future borrowings will depend on the timing of inventory purchases and capital expenditures. We anticipate using the line of credit at some point in time in the next 12 months as we continue our capital investments and have seasonal inventory changes related to hop purchases and other timing issues on certain payments. We expect to end 2009 with no borrowings under our line of credit or incur any other debt. We will now open up the call for questions.
Operator: (Operator Instructions) Your first question comes from James Watson with HSBC.
James Watson - HSBC: I will start with volume. I would like a clarification. You said the core shipments through March year-to-date were down 14%, but the underlying volume was down 2%. So we’re looking at so far this year a 12% difference between depletions and shipments. How does that compare to overstock you thought inventories were at the end of the fourth quarter?
Martin Roper: One way to think about how much inventory might have been overstocked is to look at last years shipments, versus depletions, as [audio gap] which will be available to you in the 10-K that we’ll be filing just a little bit later today. From that you will get a good perspective that there was some inventory build last year, probably not that significant on a full-year basis, but if that was to unwind on a quarter basis that might show up. What we’ve seen in our shipments and orders to date through the end of March is obviously a negative trend significantly greater than the decline in depletions that we’re seeing certainly on a selling day adjusted basis. So, what we tried to do was provide a reference point for you as to how that compared to our depletions over this same time period last year, and obviously that’s just off by a couple of percentage points. Typically in the first quarter, and indeed in the first half of the year, we would expect to see some wholesaler inventory build up to the peak selling months of July. Frankly, those would continue past through to November and then unwind through Thanksgiving and Christmas. We’re not sure we’re seeing that this year, based on anecdotal evidence and also what our shipments are relative to depletions. We think that’s; probably just indicative of how people are behaving in the current economic climate.
James Watson - HSBC: Okay so we’re seeing that the destocking might be a little more weighted in the first half of the year, especially as that was traditionally when the build up was?
Martin Roper: Yes and when we say destocking, I think, what we’re looking at is what we might have expected inventory build to have been over that period of time and we’re just not seeing it.
James Watson - HSBC: Okay. As far as the slow down we’ve seen in the volume, I was wondering if you could comment on whether that’s focused on premise or off premise, and if there are any specific brands, or geographies that this is weighted and where we’re seeing this coming from.
Bill Urich: What we’re seeing is maybe a little counter-intuitive, but we are significantly stronger in the on premise where we appear to be continuing to grow. That has been more than offset by what looks like weakness in the off premise. Our best guesses as to what’s going on, give us a number of factors. I think first there is just some category catch up going on. We’ve significantly out grown both the craft category and the overall better beer category for three years now as we’ve expanded distribution, pushed our seasonals’, added variety, probably earlier, faster and maybe better than the rest of the category and there is some catch up now as other brands are pushing their distribution out, adding seasonals’, and variety. I think second, our pricing has been above better beer and even a little bit above the rest of the craft category. I think there has been some retailer destocking, which shows up in the depletions, and then finally there is something going on with the economy that while beer is pretty recession resistant, it’s probably not unaffected.
James Watson - HSBC: That’s great, just a follow up on one point. You said your pricing was above the general craft category. Is that going to make it tougher for you to take up any additional pricing to make up for anything this year?
Bill Urich: Well we’ve implemented most of our price increases. We started putting them through at the beginning of the fourth quarter last year and we do it selectively, strategically, but most of them are done now. So we wouldn’t expect further price increases. We projected about a 3% for this year and the vast majority of that has already been implemented and has shown up in the market.
James Watson - HSBC: Great, thank you very much guys.
Operator: Your next question comes from Lindsay Drucker-Mann from Goldman Sachs.
Lindsay Drucker-Mann - Goldman Sachs: I just wanted to follow up on James question about the shipments and depletions year-to-date, because I was still confused. So, your core shipments year-to-date down 14% and are your depletions down 2% year-to-date, or down 12% year-to-date?
Bill Urich: Neither. They are down 9% raw numbers. Again, the months have moved around in a funny way this year and it’s not a leap year. There are two fewer selling days in the first two months and that equates to, as best we can guess, about 5%. So, if you adjusted for our estimate of this affect of the two fewer selling days on an apples-to-apples basis we are talking about depletions for the first two months being down four. Nine raw, four selling day adjusted.
Lindsay Drucker-Mann - Goldman Sachs: Okay so could you clarify on the sentence, the orders for March 2009 year-to-date shipments orders reflect volume approximately 2% lower than the depletions from the same period in the prior year?
Martin Roper: Yes, Lindsay, what that says is if we were reporting in our queue what our orders were for the first quarter it would represent a volume 2% less than we depleted last year in that same period of time. We provided that information to help you understand this destocking issue that’s currently going on. Does that make sense?
Lindsay Drucker-Mann - Goldman Sachs: Yes. So, on the cost side, Martin you mentioned that as of now you are operating at brewery costs that are higher than what your historic contract arrangements had been. Do you envision those operational costs getting to be lower than what your historic contract arrangements had been as you extract efficiencies down the road?
Martin Roper: We certainly see them declining from what we experienced in the fourth quarter. Whether they will reach historic contract levels is probably an extremely stretched target. I think the way we look at it is, is we expect them to match existing contract levels, which frankly are much higher than the historic contract levels.
Lindsay Drucker-Mann - Goldman Sachs: Does that cost of producing include things like the longer shipping businesses, is that sort of all in, or is that just production?
Martin Roper: That’s just production. The Pennsylvania Brewery actually helps us on the freight side in its closeness to New England and then there are also some benefits to the West Coast due to its closeness to the major New York/New Jersey markets in the back whole situation there. But again, one of the things we lost at the end of October was we had a Miller subsidy for our West Coast freight, so that disappeared with the end of our old Miller contract where they had basically subsidized our West Coast freight as if it came from the Tumwater area of Washington. So that is a change as it relates to the freight going into ’09.
Lindsay Drucker-Mann - Goldman Sachs: Okay and then is there a way for you to help us better understand what the one off costs of, you mentioned some start up costs and things related to the new brewery that happened in 2008 that won’t be repeated in 2009?
Martin Roper: We haven’t quantified that and put that out for public disclosure. There is obviously the write up of the brewery asset in Latrobe, the impairment charge. We certainly hope to be brewing in Latrobe again, but based on our probabilities of potential outcomes we decided that the appropriate thing to do was to take an impairment charge. We are still producing for Diageo in the brewery in Pennsylvania and that, frankly, complicates exactly what our cost picture is, because we have a lot of activities for them around their production that aren’t ongoing costs. So, I just don’t think at this point in time we are in a position to quantify what those might be, but hopefully we’ll have a better picture later in the year.
Lindsay Drucker-Mann - Goldman Sachs: Lastly, when do you think you may have better visibility to some of these operating efficiencies that you talked to?
Martin Roper: Again, I think the situation is complicated by our continuation of the Diageo production relationship. As much as we love them and respect them and have had a great relationship, that relationship ends towards the end of April, beginning of May, and then the brewery will be a brewery with production of our products and we’ll probably have to have six months of operation of that for us to have a good understanding of what our baseline is and also what the potential is. So, I am thinking in third quarter.
Lindsay Drucker-Mann - Goldman Sachs: Okay great, that’s it for me now. Thanks very much.
Operator: Your next question comes from Andrew Kieley from Deutsche Bank.
Andrew Kieley - Deutsche Bank: Bill, I was just wondering, when you are talking for the guidance that 2009 gross margin might be down. What is the comparable margin you’re using for 2008?
Bill Urich: Excluding the recall costs, so we’ve had disclosed the recall costs in terms of what the impact has been on both the revenue and on the cost of goods line. The K has been filed and there is a pretty good explanation in the K, Andrew that should help walk you through that. So if you exclude that, that would be the base.
Andrew Kieley - Deutsche Bank:  I just want to clarify the comment you just made about the long-term margins in the new brewery. When you’re saying you don’t think it can reach historic contract margins are we talking about a 55, 56 levels, or that we would be closer to recent contract margins? What kind of margins doe that imply? Is that closer to like 50% gross margin? I just want to clarify that comment that you made.
Martin Roper: Well our intention is to manage the business to return to historic gross margin levels. The question that, I think, Lindsay asked was whether our costs would be the same and that is certainly a very, very stretched target and may be a very good long-term target which may be helped by some growth, but I wouldn’t put it as a realistic target in the next couple of years to return to historic contract. Our medium term goal is to make sure the breweries operate as efficiently as our current contract alternatives. Are gross margin goals are certainly to get back to historic gross margin levels. Whether we can do that or not will obviously be a function of our ability to maintain healthy pricing and what goes on, on the commodity side of our business as it relates to hops and barley, as well as what’s going on with oil and energy type prices. The rest of it we somewhat have a good line of sight as to how we can improve. Certainly, I think like other breweries, we forward contract on some of those items for about a year. There is certainly some softness there and as we look forward we hope that when we’re in a position to contract again that we will be able to take the benefit of that softness that we currently see.
Andrew Kieley - Deutsche Bank: Right and then just a little bit more on the guidance. I was wondering first if on the EPS guidance if that is a clean number, or if there are any one time items we should be aware of in that EPS guidance. Second, just looking at the EPS guidance, you are assuming pricing is up a bit, margins flattish. Is there an assumption there about what you think shipment volume does full year and do you think you can grow core volume in this environment with pricing moving higher?
Bill Urich: Let me answer the first part of that question. In our guidance I don’t believe that we have forecasted any extraordinary items. We certainly wouldn’t plan on doing that. It is nothing that we are aware of today. I will let Martin answer the second part of that question.
Martin Roper: Sure. We’ve got a plan together at the end of the third quarter and we’ve been massaging it ever since, as there has been, obviously, significant greater murkiness as to what volume and pricing trends might be. While, frankly, being some upside on the cost side. What we wanted to do was communicate an EPS range based on current information and current best guess of volume and costs and all other activities. I think like any company currently dealing with the economic situation that we’re dealing with, we’ve initiated a number of projects to try and find efficiencies and resources that we can move to brand building activities, or to support additional volume. What we tried to communicate was if we have those opportunities, our preference is to maintain share, maintain healthy pricing, and grow volume, as opposed to maintaining earnings, because we certainly believe that the things that we want to grow are more valuable long term than just the short-term earnings picture. That being said, based on what we currently know, this is our earnings guidance and we’ll be updating it on a quarterly basis.
Andrew Kieley - Deutsche Bank: One last detail, could you just remind us what the full capacity of the new brewery is now and maybe by year-end, and do you think it will be fully utilized capacity by the end of the year?
Martin Roper: I think we anticipate brewing about 2/3 of our peer there on an annualized basis once the Diageo contract is over. The brewery actually, we believe, has the potential to produce more than that with the addition of some capital expenditures in the bottleneck areas and also some enhancement to some efficiencies in some areas, and certainly the basic backbone infrastructure is there to go up to two million barrels.
Andrew Kieley - Deutsche Bank: Okay, thank you.
Operator: Your next question is a follow up from Lindsay Drucker-Mann with Goldman Sachs.
Lindsay Drucker-Mann - Goldman Sachs: I was curious if you could talk to why we have seen in the Nielson data, so for the grocery store data, your volume trends have been so weak in the past few months.
Bill Urich: Yes. They have been much weaker than other categories for us. I think some of it is what I talked about earlier, that there is just more shelf space to craft beer now, as the category kind of catches up to our leadership in expanding distribution and seasonals, and pricing shows up a little more there than on premise. There is so much other noise in on premise costs that if you’re keg prices go up a bit they may or may not be adjusted at that point. Third, in January and February we believe we had a little less display and ad activity, some of which we think we’re getting back in March. So, yes, the Nielson numbers look worse than the rest of our business.
Lindsay Drucker-Mann - Goldman Sachs: We have seen a couple of years now where you’ve had more shelf space and distribution points allocated to craft categories. Is 2009 a year where you anticipate that to continue?
Bill Urich: We think so. The category still has a lot of strength and vitality to it, a lot of consumer interest in it and retailers need higher profit items that have decent volume, and craft category is taking space as a result.
Lindsay Drucker-Mann - Goldman Sachs: Okay thanks. Lastly, on the advertising side, are you guys shifting any of your ad spend or advertising strategy to meet the consumer in this different economic climate?
Bill Urich: Yes, a little bit. We’re not going to make a major change that we foresee, but there is some, sort of, tonality differences, because the climate has changed. Obviously the consumer is in a different place than they were six months ago when we put our plan together.
Lindsay Drucker-Mann - Goldman Sachs: Okay, thanks very much.
Operator: There are no further questions at this time. I would now like to turn the call back over to Mr. Bill Urich.
Bill Urich: Thank you everyone and we’ll talk to you at the first quarter earnings release.
Jim Koch: Thank you.
Operator: That concludes today’s conference.